Operator: Welcome to Broadcom Inc.'s First Quarter Fiscal Year 2020 Financial Results Conference call. At this time, for opening remarks and introductions, I would like to turn the call over to Beatrice Russotto, Director of Investor Relations of Broadcom Inc. Please go ahead, ma'am.
Beatrice Russotto: Thank you, operator, and thanks everyone for dialing in today. Joining me on today’s call are Hock Tan, President and CEO; and Tom Krause, Chief Financial Officer of Broadcom. After the market closed, Broadcom distributed a press release and financial tables describing our financial performance for the first quarter of fiscal year 2020. If you did not receive a copy, you may obtain the information from the Investors section of Broadcom's website at broadcom.com. This conference call is being webcast live and a recording will be available via telephone playback for one week. It will also be archived in the Investors section of our website at broadcom.com. During the prepared comments, Hock and Tom will be providing details of our first quarter fiscal year 2020 results, guidance for our second quarter fiscal year 2020 and commentary regarding the business environment. We'll take questions after the end of our prepared comments. Please refer to our press release today and our recent filings with the SEC for information on the specific risk factors that could cause our actual results to differ materially from the forward-looking statements made on this call. In addition to U.S. GAAP reporting, Broadcom reports certain financial measures on a non-GAAP basis. A reconciliation between GAAP and non-GAAP measures is included in the tables attached to today's press release. Comments made during today's call will primarily refer to our non-GAAP financial results. I'll now turn the call over to Hock.
Hock Tan: Thank you, Bea and thank you, everyone for joining today. Well, it certainly was the best of times. It is now the worst of times and we certainly live in very interesting times. So let me start by reviewing our first quarter results, after which I will provide an update on the current environment and outlook. Consolidated net revenue for first quarter was $5.9 billion, 1% increase from a year ago. Semiconductor solutions revenue was $4.2 billion, declining 4% year-over-year but collectively demand for our networking, broadband and storage products continue to recover, growing 6% year-over-year. However, as expected, wireless products were down sharply year-on-year due to the – an architectural change in touch sensing as we explained. Our infrastructure software segment performed largely as expected. Brocade recovered from the bottom of 2019 and continued to stabilize very well. CA had a record quarter under Broadcom, delivering approximately $880 million of revenue or a 5% growth year-over-year. Finally, in this first quarter of integrating Symantec onto our platform and taking into account the impact of purchase accounting, we had revenue of approximately $400 million, which we expect will step up as the year progresses. Now this first quarter results also exclude the Managed Security Services business, which we are divesting to Accenture. Now let me turn to our current thinking on the full year. Let me begin by putting into context how we initially came to our prior full year 2020 guidance. It was based on two primary drivers. On the infrastructure software side, we added Symantec, which in the first year we expect to do $1.8 billion, combined with Brocade, which is on its way back to a normalized run rate and CA which is growing. We felt good about $7 billion from the software segment in 2020. Now in semiconductors, 2018 was a strong year up high single-digits. However, we’re softening demand industry-wide, 2019 became challenging and was down high single-digits, bottoming out in the second half of the year. So when we gave our 2020 guidance last quarter, it reflected a projected recovery from that bottom. We expect that the recovery would be more gradual in the first half of 2020, which we have been seeing and then accelerate in the second half of 2020. Our confidence in that acceleration was driven by the anticipated launch of 5G phones late in the year and expected strong data center spending from enterprise and hyper cloud customers. So now let's talk about the impact of COVID-19 on that outlook. As I sit here today, I have not yet seen a meaningful impact on bookings and certainly the fundamentals of the business remain very much intact. However, there is no doubt COVID-19 has created a high level of uncertainty, which we can't help but think is going to have an impact on our semiconductor business, in particular in the second half of the fiscal year. But frankly, visibility is bad and confidence continued to erode. So as a result, we believe it is only prudent that we withdraw our annual guidance until such time that visibility returns to pre-COVID-19 levels. One more point though before I move on. Keep in mind through all the cyclicality and uncertainty, given the high degree of recurring revenue based on multi-year contracts, any uncertainty around infrastructure software revenue is likely to be very much more muted. Also in light of the unique environment we are in, we thought it makes sense at this time to provide more color on near-term expectations, which we have better visibility. We expect our second quarter revenue to be $5.7 billion, which reflects a typical sequential drop, slight drop in wireless seasonality. Importantly, on a year-on-year basis, we expect our semiconductor business this Q2 overall to be virtually flat from a year ago, this after year-on-year reduction over the last four quarters. On infrastructure software revenues, we expect that to sustain on a sequential basis as we focus on – as we continue to focus on completing the Symantec integration process. So to put it in perspective, shipments to date in addition to orders on hand give us the confidence in our ability to achieve this focus. So finally before I turn the call over to Tom, let me address our wireless business, especially given all the speculation in the press following our last quarterly call. After careful consideration, we have come to the conclusion that continuing to invest in and operate our wireless assets will create the most value for our business and for our shareholders. We’re now more closely and strategically aligned with our largest smartphone customer as a result of our more recent multi-year supply agreements and look forward to the continued success of our wireless franchises. Now let me turn the call over to Tom.
Tom Krause: Thank you, Hock. Consolidated net revenue for the first quarter is $5.9 billion, a 1% increase from a year ago. Semiconductor solutions revenue was $4.2 billion and represented 72% of our total revenue this quarter. This was down 4% year-on-year and down 8% quarter-over-quarter. Revenue for the infrastructure software segment was $1.7 billion and represented 28% of revenue. This was up 19% year-over-year and up 39% quarter-over-quarter. Let me now provide additional detail on our financial performance. Operating expenses were $1.19 billion and include approximately $80 million of Symantec-related expenses that we expect to go away over the course of the year. Operating income from continuing operations was $3.08 billion and represented 52.6% of net revenue. Adjusted EBITDA was $3.27 billion and represented 55.7% of net revenue. This figure excludes $146 million of depreciation. I would also note that we accrued $248 million of restructuring integration expenses and made $131 million of cash restructuring integration payments in the quarter. We spent $108 million on capital expenditures and free cash flow represented 37.8% of revenue or $2.21 billion. In the quarter, we returned $1.5 billion to our common stock holders, including $1.3 billion of cash dividends. We paid $169 million in withholding taxes due on investing of employment equity resulting in elimination of $0.5 million AVGO shares. Finally, we ended the quarter with $6.4 billion of cash, $44.7 billion of total debt, 399 million outstanding common shares and 451 million fully diluted shares for the quarter. Now let me turn to our non-GAAP guidance for the second quarter of fiscal year 2020. As Hock discussed, we expect net revenue to be $5.7 billion plus or minus $150 million. Adjusted EBITDA is expected to be approximately $3.135 billion or 55% of net revenue, with a slight drop in revenue partially offset by the lower operating expense. As you would expect us to do, we run various downside recessionary scenarios with respect to our cash flow outlook, and ability to maintain our liquidity, service our debt and return capital to our shareholders. Given our high gross margin profile and our somewhat variable operating expense structure, we believe we are able to maintain EBITDA margins comfortably north of 50% even in these downside scenarios. With this as a backdrop, we are quite comfortable with the current dividends and our ability to generate excess cash beyond the dividend throughout the fiscal year. As a result, our capital allocation plan for the year remains unchanged. We plan to pay out approximately $5.5 billion in cash dividend to common and preferred shareholders and expect to pay down $4 billion of debt. Given the high level of uncertainty today, we are currently focused on maintaining higher than normal levels of liquidity and currently plan to do the debt pay down in the second half of the year or once visibility starts to improve. That concludes my prepared remarks. During the Q&A portion of today's call, please limit yourselves to one question each so we can accommodate as many analysts as possible. Operator, please open up the call for questions.
Operator: Thank you. [Operator Instructions] Our first question will come from Craig Hettenbach with Morgan Stanley.
Craig Hettenbach: Yes, thank you. Hock, just a question on the wireless business, if you can add some more context in terms of your commentary around further alignment with your largest customer and kind of the strategic nature of the business.
Hock Tan: Well, we're pretty much under NDA, so I'm obviously very limited in what – how much I would disclose to you. But suffice it to say, and we put that out in our – in a press release when – right after we sign agreement with our customer that, basically, it's a long-term three-year, in fact, agreement that aligns – that requires us to provide technology and road map alignment in essentially RF components for the next three years – next three generation of 5G phones. It's very close engagement, and it perpetuates the strong products and franchise we have in this space.
Operator: Thank you. Our next question will come from Ross Seymore with Deutsche Bank.
Ross Seymore: Hi, Hock. Thanks for all your color. I know times are very uncertain. Is there any either end market or geographic color you can give on kind of the supply versus demand disruption you're seeing? I know you said that bookings haven't really changed at all, but it's – clearly, the uncertainty levels are high. So any sort of color would be helpful.
Hock Tan: Well, it's very interesting one you just said because you're right. I mean, as we sit here right now – and obviously you're trying not to be disingenuous about how we answer this question, but we haven't seen any significant or meaningful impact. But that could reflect the fact that most of all our businesses are related to enterprises and infrastructure as opposed to consumer base. And as we know, the pandemic of COVID-19 is obviously hitting the people, the individual, the consumer. So we have that level of buffer before we see it, and we recognize that. We also recognize the fact that probably some areas would behave differently from other areas in a sense that we see as part of social distancing that more and more people, a lot of people work from home, which basically implies they not only work from home. They stay home and play from home, which means consumption of Internet cloud increases. So hyper cloud spending, I would see to probably not be pulled back or scaled back, possibly might even improve or such. On the other side, over time, as consumer spending drops as we all expect to at least over – on a temporary basis, confidence level among businesses, enterprises might erode, as I indicated in my notes, which might basically delay or push out spending by enterprises, while cloud spending goes up. So there's puts and takes. But again, this all be all speculation, and I want to put it down this way because we have not seen either thing – either scenarios happen as yet.
Operator: Thank you. Our next question comes from Vivek Arya with Bank of America.
Vivek Arya: Thanks for taking my question. And Hock, I understand the visibility is limited, but should we assume second half can still be better than the first half? Because when I go back to Tom's, I think, cash flow remarks, if I got them right, I think, Tom, you said $5.5 billion in dividend payment and $4 billion in debt pay down. So that's $9.5 billion of cash usage, which I think is higher than the $9 billion free cash flow that you had outlined in the last call for fiscal 20. So that definitely suggests strong free cash flow generation for this year. So I'm just trying to look at those data points and see what are the assumptions you have for the second half of this year, both from a sales and a free cash flow generation perspective? Thank you.
Hock Tan: Well, let's start with top line, as you said, right, because then the bottom line falls through with us very, very easily, to answer your question. On – and as Tom indicated, as we look at the full year, we could draw various possibilities, various scenarios. We could. In our current guidance, I'm not suggesting for a second might even show up or close to show up. Problem is, frankly, as I indicated, we don't know. We don't know because we don't – we're trying to understand the impact of COVID-19 on our ecosystem and that this is still a very early stage in the whole process. But what we've seen so far is what happened in China, Asia, obviously. And that hit badly, big but – so it could come from two parts, demand and supply chain. What we saw in the supply chain was not much impact, partly because a lot of supply chain contract manufacturing and all that was not in China. Part of it was, but there was also inventory in the pipeline pre-COVID-19, so that kept supply chain going. So our supply chain has not been impacted to any meaningful level. On the demand side, there was slowdown. There has also been some level of recovery since then in China as this – as the pandemic in China starts to subside somewhat. Now having said that, we're looking over at the U.S., Europe now, and we're seeing that going into its full-blown glory. Can we extrapolate what we see in China over here? To be honest, we don't know. And so if you want to look at one right – one possible downside, and we plan – we have done plenty of it, you could say the revenues could drop, say, 10% – 5% to 10% from our $25 billion original forecast. And as Tom indicated, and I'll let Tom elaborate a bit more, what we're seeing is because of our high-margin products and revenues and to some extent, our variable OpEx, operating expense levels, we expect our EBITDA percentage, EBITDA percentage of revenue to still be comfortably over 50%. Tom?
Tom Krause: And I'd just to add on to that. I think if you look at the Q2 levels, it's a seasonally down quarter traditionally. And if we work off of that as a baseline, you're right, we all would have expected revenues to seasonally be up in the second half. There are some onetime drivers associated with that, but there's also generally an uptick in the back half. We run a lot of different scenarios as you'd expect we would. Even if you assume depressed levels where we're flattish off of the Q2 number, I mean keep in mind, in Q2, we're going to generate on the order of $2.5 billion of free cash flow. Interest rates have come down dramatically. We have a lot of floating rate debt. That's helping us. We have a variable compensation structure here as Hock was articulating. That helps us. And so if you want to paint that kind of scenario, those are things we have to do, especially given our capital structure, we're still going to generate on order the amount of free cash flow that you were just describing. And we haven't guided a specific number because I think the visibility continues to get worse, and we don't want to get out in front of what could be obviously a very challenging environment. But needless to say, we're paying $5.5 billion in the form of dividends, including the preferred. It gives us a tremendous amount of headroom. I think it's only prudent, as I said, to keep ample amount of liquidity as we sit here today, but it's at least our expectation, especially if we're going to be running at these levels, let alone show any improvement that we would continue on and continue to pay down the debt we said we were going to in the second half. So we'll continue to watch it, and as visibility improves, we'll act accordingly.
Operator: Thank you. Our next question comes from Harlan Sur with JPMorgan.
Harlan Sur: Good afternoon. Just want to start off with a quick housekeeping item. Just given the strong design win pipeline that's unfolding in your compute offload or cloud ASIC business, is that now annualizing greater than $500 million per year? Because we're just hearing that the demand pull here is strong. And then for my main question, on the uncertainties on the prior full year outlook, your infrastructure business is all mission critical. Your large customers will spend here typically in good times and in bad. And just as important, I believe that your infrastructure software business is 80% to 85% ratable revenue, so fairly predictable annuity-like revenues over multiple quarters. Is that what is driving the confidence on the sustainability on the software business in the second half?
Hock Tan: Absolutely. As I indicated earlier, this infrastructure software is all largely, as you say correctly, mission-critical applications running the processes, running the transactions of the largest 500 companies in the world. We have to keep doing business, and these are multi-year contracts with fixed committed payment revenue structures. So yes, that's a nice – that's a – in a way, that's a very nice thing about having this slug of infrastructure software within our product portfolio.
Operator: Thank you. Our next question comes from John Pitzer with Credit Suisse.
John Pitzer: Yes. Good afternoon, guys. Thanks for letting me to ask the question. Hock, I appreciate the uncertainty from COVID-19 being the rationale for pulling the full fiscal year guide. It sounds like for fiscal 2Q, though, you're characterizing that as a somewhat normal seasonal quarter, so I'm just kind of curious if you're putting any cushion in for the fiscal 2Q guide. And are you all at all worried that your customers are perhaps not pulling orders from you because they're concerned about your ability to supply and that we end up having some excess inventory in 90 days?
Hock Tan: Interesting question. As I indicated in my remarks, we pretty much for Q2 and we are just about almost halfway through Q2 fiscal 2020. As you know, Q2 will end, end of April for us. We pretty much have line of sight. In others, we have backlog. And we have clear visibility on how we're going to produce those parts and who are going to take those parts. So that's pretty much the basis of our focus and, as we call it, our confidence.
Operator: Thank you. Our next question comes from Stacy Rasgon with Bernstein Research.
Stacy Rasgon: Hi, guys. Thanks for taking my question. I wanted to know what kind of leverage level you need to maintain your investment-grade rating potentially as EBITDA may be coming down. And how are you thinking about the dividend next year if free cash flow is, say, down year-over-year in 2020 given you – it's a 12 and 12.5,12 and 12-month free cash flow formula that goes into it?
Tom Krause: Yes, Stacy. It's Tom. I think on the leverage levels, what we had gone into the year looking at was maintaining roughly 3 to 3.5 times leverage on a pro forma basis with Symantec. That included the pro forma contribution from an EBITDA perspective, over $1 billion from Symantec as well as some debt pay down by the end of the year. So that largely is intact, frankly. I think, as you also know, we came off of a cyclical downturn in semis last year and at least through the first half. As we discussed, we're – frankly, we're flat to – if anything, on the semi side and CA actually is up So from an EBITDA standpoint, it would take quite a bit of a drop in the organic business, very meaningful drop actually where EBITDA would actually be down year-over-year, especially given the Symantec contribution. So I think from a leverage level standpoint and as it relates to our rating profile, we feel pretty comfortable. On the dividend, I think it's premature. Obviously, we talked about the cash flows. We've discussed sort of where cash flows are in the first half, and we're running near $5 billion second half. Even in some downside scenarios, I think are going to hold up reasonably well. And so when you look at the cash flow performance even on a relative basis to last year when you include restructuring costs, we're actually going to be up as well in that downside scenario. So things would have to get a lot worse where we'd be looking at changing our dividend policy. In fact, I think what I would tell you is we usually look at the fundamentals of the business and are any of these businesses changing meaningfully relative to the fundamentals. We'd see that of course. And so we're pretty committed to the dividend as you can expect, and the cash flows are there to support that.
Hock Tan: Another way of putting that, Stacy, is – to sum that simply, in a way, we've got two tailwinds here. One is, 2020, we are integrating and improving contribution of Symantec to our EBITDA, and that's adding on for sure. On revenue of close to $1.8 billion, EBITDA is adding on. And the second thing in our semiconductors, we begin 2020 with low set of numbers anyway in terms of a downturn in the cycle that we're emerging from. So it's – that too helps the fact that we will have an opportunity to offset any impact from COVID-19.
Operator: Thank you. Our next question will come from Blayne Curtis with Barclays.
Blayne Curtis: Hey, guys. Thanks for taking my questions. Just curious by end market if you can maybe comment on, obviously, enterprise went through some inventory correction. It seems like it's getting a bit better from a supply chain perspective. And the data center is quite strong, so I was wondering if you can just comment what you're seeing in those two end markets across your business?
Hock Tan: I would love to answer that question, actually, before COVID-19. At this point now, it might seem fairly, I call it, delusional. But let me tell you – since you asked, I'll answer. Before this – the impact of what we're seeing today from COVID-19, you're right. The business, the semiconductor business I pointed out had – has been nicely recovering. Still, in some ways, if you look at numbers, Q1 and Q2, as we say, it reflects that. It's been – it is recovering. In fact, Q4 last year, if you take the semiconductor solutions segment, year-on-year was down 7% Q4 2019. Q1 just passed, for 2020, we're down 4%. And our guidance now for Q2 2020 is virtually flat from a year ago. You see that recovery. Now it's still gradual, and we had hoped the second half to be accelerated for the reasons you mentioned above, which is data center spending, which had been more muted before starting to accelerate. And you would say that, that should have limited – should be impacted on a more limited indirect basis by COVID-19. The only thing I'll turn to you is we don't know for sure. Hence, our – I would say, we put in a very prudent position. We don't know. But you think it's the consumer that had hit less the infrastructure, data centers, but this – the things that are going on was still very unclear. Visibility on how people behave, our enterprises, our cloud guys would change their spending behavior, still not very clear. But pre-COVID-19, you're right. There is a clear distinct recovery from the bottom of 2019.
Operator: Thank you. Our next question comes from Toshiya Hari with Goldman Sachs.
Toshiya Hari: Hi, guys. Thank you for taking the question. Hock, you mentioned that after careful consideration, you guys decided to keep the RF business and invest in the business long-term. I was hoping you could provide a little more color in terms of what went into the thought process? Was it basically that long-term agreement with your largest customer that sort of pinned down your decision? Or were there any other changes in terms of how you think about the market long-term or your competitive position long-term, the profitability of that business? Or does it have more to do with the valuation, the price that others were perhaps willing to pay? Thank you.
Hock Tan: Very good point. You hit on most of the reasons, except the last couple, which are not – it's not the case. But yes, with the – after – don't forget, we may have called it in the last earnings call as financial assets. We didn't say noncore. We call them financial assets. Doesn't change the fact these have been – continues to be franchises. These are product franchises, the way we define. That means strong technology. We are, by far, in the lead and we have a good position. And we continue to be in that position. And the market, especially with 5G phones coming in with the plethora of difficult spectral bands that require our filters, our unique filters that all drive to a sustainability of the franchise, and one really, I guess, come to terms with changing our mind to large extent is the fact that there is now clarity and certainty of a long-term road map and very strong market position with respect to high-end next-generation 5G phones. So all that relates to it. But it has less or nothing to do, in fact, what value we can achieve out of it. I can say more, but it definitely was not the last part.
Operator: Thank you. Our next question will come from Edward Snyder with Charter Equity.
Edward Snyder: Thanks a lot. Between your move to annual – from annual to quarterly guides and your comments about the larger impact of the coronavirus on retail and infrastructure, does that imply that most of your uncertainty in the second half of the year has more to do with wireless and, say, with your networking, it's certainly not infrastructure software and mostly about maybe timing given that it's got such a big impact on your wireless business? And then, Tom, given the steep decline in valuations especially in the software sector here, is it – have you studied the accretive trade-off between shifting more of your resources maybe to acquisitions sooner than you might have expected given that you can see a bigger boost on the side? Or is it just steady as you go until you build a big enough cash pile to feel more comfortable with it? Thanks.
Tom Krause: Let me take the first part, which is, hey, in this environment, given where everything is, we're focused on running the business. We're focused on liquidity. We're focused on our capital returns. I think, at least for the time being, M&A is off the table until visibility improves. That's all I'll say there.
Hock Tan: And on the second, Ed, you know the answer as well as I do. So I won't – I don't need to expand or comment on it.
Operator: Okay. Our next question will come from Aaron Rakers with Wells Fargo.
Aaron Rakers: Yes, thanks for taking the question. I guess I wanted to ask on the Symantec contribution and your expectations going forward. You mentioned that you would expect to see the revenue kind of trajectory ramp through the course of this year. Can you help us understand how that ramp might look from here relative to the $400 million? And where do you stand on kind of just the integration efforts? What's been done? Or more importantly, what's still in front of us? And how do we think about that from an operating expense perspective?
Tom Krause: Sure, it's Tom. Things are progressing well. It's a unique deal. It's an asset purchase. We took the decision to drive integration quickly. We're well ahead from an operating expense standpoint. So I think, by and large, we're off to a decent start. On the revenue side relative to CA, Symantec had a bit more on the – in the form of perpetual licenses. When we brought the business over, we did take a purchase accounting haircut, which is reflected in the numbers.  We also have successfully sold the managed services business. We're getting set to close that with Accenture, so that's a good thing. And so what I think you'll see is as bookings continue to come online and we move into not only the second quarter but in the second half, that we'll continue to progress toward the $1.8 billion run rate that we articulated last quarter.
Operator: Thank you. Our next question will come from Harsh Kumar with Piper Sandler.
Harsh Kumar: Yes. So a question on your software business, Hock. You're building the software complex of companies that are targeting top enterprise customers. These businesses under previous management didn't grow very much. They were flat, maybe 1% growth at best. How fast do you think these businesses can grow under your umbrella? Outside of being better managers, what are you guys bringing to the table to enable this better growth?
Hock Tan: Well, yes, we have some limited data to – that we have been able to achieve. That, of course, doesn't mean this is something we'll go through forever, but it's pretty in line with what we set out to achieve. And that was – we have over one year of operation of CA under our belt today. CA comprises, as you know, the mainframe, software and various distributed software and – distributor software as it relates to dev ops, automation and business operation together. And we reported Q1 – this past Q1, CA having hitting revenues of $880 million in that one quarter, revenues for that. And this is ratable revenue. That's how we measure this revenue. So none of this perpetual, $606 million acceleration, flat revenues, $880 million and that's a 5% increase from a year ago. And to us, that's the kind of level we hope to sustain going forward, that we grow this very, very embedded infrastructure software business at a rate – it's a rate in the mid single-digits. And I'm very pleased that we're able to do that in – for CA now. We expect to be able to put the same business model, financial model into the Symantec business and do the same. And one way we see is that this $7 billion a year of infrastructure software, and that includes Brocade, of course, will over long-term grow in the mid-single digits and be extremely profitable for us.
Operator: Thank you. Our next question will come from William Stein with SunTrust.
William Stein: Great, thank you for taking my question. Hock, you said earlier in the call in your prepared remarks that there has been no change to bookings. You said orders, I think they're essentially the same thing. But in years, certainly in decades past, that would have been quite a meaningful statement given what's been going on with COVID in the last couple of weeks. I wonder if something has changed in the way your customers manage the supply chain that would make this maybe not as meaningful. In other words, how much optimism should we as analysts or investors draw from that comment as it relates to sort of beyond just the next few weeks with medium-term outlook?
Hock Tan: Don't forget, there's – this – there is just a limited horizon on the way those bookings are. So you are looking at a very limited horizon and limited visibility because the bookings are only over a certain period of time. We're not talking of bookings that run out to the end of this calendar year. We don't book that far ahead. So on that limited horizon of bookings, we're seeing in – it's what is not discernible. Another way I'm phrasing it is any significant change in the way the pattern of booking we have been seeing over the past couple of months or so. That has not changed. Neither have we seen any cancellations is what I mean on the orders that are – on any of the backlog that's been placed on us – on our books today. That's as much as I would put it at this point. What – beyond that, in that horizon, we're not making any guesses or making – and giving you any direct information as to what might happen. But what we have on our books, we are not in cancellations. Whatever we have seen on the level of bookings and the pattern of booking, we have not seen any dramatic change.
Operator: Thank you. Our next question will come from Mitch Steves with RBC Capital Markets.
Mitch Steves: Hey, guys. Thanks for taking my question. I hate to circle back to kind of the COVID-19 impact, but you guys kind of mentioned you're talking about maybe a 5% to 10% decline. I don't expect the number from this. But how do we think about the business lines and in terms of what business lines do you guys think will be most impacted if this doesn't get solved quickly? And maybe some sort of view, I guess, on the handset shipments you guys expected for the full year and how you're thinking about that changing given what we know now?
Tom Krause: Yes. Mitch, this is Tom. I think in order of most impacted to least impacted, it's probably pretty self-explanatory, but the consumer and consumer discretion-related end markets like phones, I think, are going to be the most impacted potentially. And certainly, with the expected 5G ramp, as Hock was talking about, any pushouts there would have some meaningful impact in the second half of the year, particularly in Q4. Less so is, on the infrastructure side. we've talked a lot about the cloud and how spend likely should hang in there. In fact, you could paint a picture that some of the COVID-19 activity in terms of social distancing would actually suggest it could improve. Broadband certainly could improve as well for that matter. And then, of course, on the software side, it's a high level of recurring revenue. These companies, whether it be CA or now Symantec, it's 100% recurring. It's three-year ratable contracts almost exclusively, and so we have a lot of visibility on that front. And so we'll see how it plays out, but I would say the only area where you could probably be most concerned would be more on the consumer-related items at this point.
Operator: Ladies and gentlemen, that concludes today's question-and-answer session as well as today's conference call. Thank you for your participation. You may now disconnect, and have a wonderful day.